Operator: Greetings, and welcome to the Quaker Chemical Corporation Fourth Quarter and Full-Year 2013 Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. (Operator Instructions) As a reminder, this conference is being recorded. I’d now like to turn the conference over to your host, Michael Barry, Chairman, CEO and President of Quaker Chemical. Thank you. Sir, you may begin.
Michael F. Barry: Thank you, Melissa. Good morning, everyone. Joining me today are Margo Loebl, our CFO; and Robert Traub, our General Counsel. After my comments, Margo will provide the details around the financials, and then we'll address any questions that you may have. We also have slides for the conference call. You can find them in the Investor Relations part of our website at www.quakerchem.com. I will start it off now with some remarks about the fourth quarter. Overall, I am pleased to be able to report that we had a good quarter, and we did so in a challenging environment. We had double-digit growth in earnings and EBITDA, and we generated strong cash flow. Let me now try to give you a sense of what we experienced in the quarter, and I will start with sales. Our overall sales were up approximately 7% for the quarter versus 2012. Our volumes showed similar growth with all four regions contributing. Going around the globe, Europe is one of our most challenging regions relative to the industrial market conditions. However, sales actually were up approximately 9%. We saw both market demand turning positive in Europe and we continue to pick up share in the marketplace. In South America, our sales were down 6%, but when adjusted for foreign exchange rates, our sales actually increased approximately 5%. In North America, we saw an increase in sales of 4% and in Asia-Pacific we saw 13% increase in sales, as we continue to have good growth from our business in China. Overall, we continue to do well, gaining share on the marketplace. We believe this is due to our commitment to our customer intimacy model, which puts the customers’ needs as our top priority and provides our customers with strong service and business solutions. We believe this approach continues to differentiate us in the marketplace. Looking sequentially, fourth quarter versus third quarter, our overall sales were relatively flat. North and South America saw declines due to the seasonality in the business. Offsetting this was sequential growth in both Europe and Asia-Pacific. One question that I normally get is what are the trends we are currently seeing in industrial production around the world? And I thought, I would proactively give you my take. As a general statement, I believe that we may have hit bottom in all parts of the world already in 2013 in terms of industrial demand. So I do believe Europe has bottomed out and all regions of the world should at least be flat or has some growth going forward, absent any typical seasonality impacts likely see in the fourth quarter in some regions. Therefore I do believe our major markets of steel and automotive will grow modestly over the next year or so. This is a refreshing change from the external environment we’ve experienced over the past several years. On our gross margins, we saw them expand by 1.2 percentage points from the fourth quarter of 2012 as our margins are back to more acceptable levels. This improvement is primarily due to the stabilization of raw material prices over the past several quarters. This gross margin improvement has been very important to our overall profitability, given the challenging external environment we saw in 2013. So we are pleased with our fourth quarter performance. We saw improvement in our end markets. We continue to take share and leverage our recent acquisitions and we expanded our margins, all of which allowed us to significantly grow our earnings and cash flow.
or in the course of the : The bottom line that I continued to be confident in our future. Of course while we operate in very competitive world, with still challenging environments and we may likely see some increases in our raw material. We expect 2014 to be another good year for Quaker in terms of key financial measures such as sales, earnings, cash flow and EBITDA as well as for our continued strategic positioning of the Company. In addition, I also believe our strong balance sheet and liquidity will continue to enable us to generate future shareholder value creating opportunities such as funding our strategic growth initiatives or making additional acquisitions. I truly believe the right acquisitions over the next several years can create additional significant value for our shareholders. In closing, I want to thank all of our associates whose dedication and expertise helps to create value for our customers and differentiate Quaker in the marketplace. People are everything in our business, and by far our most valuable asset and I'm very happy with the team we have in place throughout the world. And now I'll turn it over to Margo Loebl, our CFO, so that she can provide you with more details behind our financials and after that we will address any questions that you may have. Margo?
Margaret M. Loebl: Thank you, Mike. Good morning, everyone. Turning to the financial portion of the call today, Quaker had a strong fourth quarter despite typical fourth quarter seasonal trend. I'm also pleased to provide more details regarding Quaker’s record performance in 2013, marking the fourth consecutive year of increasing revenue and earnings. Specifically we announced yesterday net sales of $184.3 million for the fourth quarter of 2013, up approximately 7% compared to the fourth quarter of 2012 net sales of $172.9 million. Earnings per diluted share for the fourth quarter of 2013 were $1.07 compared to $0.99 for the fourth quarter of 2012, with non-GAAP earnings per diluted share increasing approximately 13% to $0.98 per share for the fourth quarter of 2013 from $.87 a share for the fourth quarter of 2012 and adjusted EBITDA increasing 11% to $21 million for the fourth quarter of 2013 and $18.9 million for the fourth quarter of 2012. Turning to the full-year, net sales for 2013 were a record $729.4 million compared to $708.2 million for 2012. Earnings per diluted share for 2013 were $4.27 compared to earnings per diluted share of $3.53 for 2012, with non-GAAP earnings per diluted share increasing approximately 10% to $3.84 in 2013 compared to $3.49 in 2012. And adjusted EBITDA increasing 11% to a record $89.6 million for 2013 from $80.9 million for 2012. We provide a non-GAAP earnings per diluted share table in an effort to provide shareholders with visibility into Quaker operations excluding certain items, which we believe do not reflect our core operations. Starting with, but not limited to earnings related to Primex, our investment in a captive insurance company. Such table is outlined in chart 10 of the investor slide. Yesterday's earnings release and our form 10-K filed this morning. Notably a key metric for Quaker is adjusted EBITDA and is summarized in chart 7 and 11. Similar to earnings per share, we adjust EBITDA to reflect items which are not part of our core business activity. Notably, in addition to including adjusted EBITDA on our investor slides, we are also incorporating adjusted EBITDA into our press release starting this quarter. On this basis, our 2013 adjusted EBITDA of $89.6 billion, again an increase of 11% from $80.9 million at the end of 2012. Looking at our trailing five years, the compounded average growth rate for adjusted EBITDA is 17.5%. As noted before, with margin on adjusted EBITDA up 540 basis points in 2013 versus 2008. Let's look more specifically now at our financial results for the fourth quarter and full-year 2013. As shown on Chart 4, of the investor slides, fourth quarter 2013 product volume including acquisitions were to record high for the quarter, and up 9% from the quarter last year -- from the same point last year. Turning to the financial snapshot shown on Chart 5, net sales for the fourth quarter of 2013 of $184.3 million increased approximately 7% from net sales of $172.9 million in the fourth quarter of 2012, primarily due to an increase in product volumes across all regions, despite typically weak seasonal trends in the fourth quarter. Moving down to P&L and referencing Chart 6, our quarterly growth profit increased approximately $6 million or approximately 10% from the fourth quarter of 2012, which was primarily driven by an improvement in gross margin to 35.4% for the fourth quarter of 2013 from 34.2% in the fourth quarter of 2012. The year-over-year quarterly increase in gross margin reflects the return for product margins to more acceptable levels. This current gross margins in the fourth quarter and the full-year have been a very important driver in Quaker’s strong performance. As Mike said, however, raw material prices could go up in the future and negatively impact our margins. Notably, we have said in the past that we generally expect gross margins to average 35% in the longer term. Selling, general and administrative expenses increased $4.5 million from the fourth quarter of 2012, which was primarily driven by acquisitions, higher labor related costs, on general year-over-year merit increases, higher incentive compensation related to improved company performance, $0.1 million of further expense related to the EMEA cost streamlining activity announced in Q3, 2013 and a $0.8 million non-income tax contingency charge. With respect to the cost generating activities announced in 2013 for EMEA and South America, it should be noticed that South America began to realize the benefit of the cost in late 2013. Meanwhile, EMEA is still in the process of completing certain adjustments to the operations and therefore will not begin to realize benefits until late 2014 and only on a full-year basis starting in 2015. The decrease in other income of $1.3 million was primarily the result of lower income in the fourth quarter of 2013 compared in the fourth quarter of 2012, related to changes in the fair value of certain contingent consideration liabilities in relating to past acquisitions. The Company’s effective tax rate for the fourth quarters of 2013 and 2012 were 21.7% and 18.2% respectively. The primary contributors to the increase in the current quarter’s effective tax rate were lower changes in reserves relating to the uncertain tax positions and certain one-time discrete items that decreased the fourth quarter 2012 effective tax rate, partially offset by change in the mix of income to lower tax jurisdictions in the fourth quarter of 2013. Also in the fourth quarter of 2013, Quaker receives approval for our concessionary tax rate in China of 15% versus the 25% statutory rate. We have been booking to in the previous quarters of 2013. That in mind, a 21.7% fourth quarter 2013 effective tax rate reflects a change to the 15% concessionary rate for the full-year 2013 earnings in Quaker China. In 2014, we're estimating upward pressure on the 2013 28.1% full-year effective tax rate and as such we anticipate that the annual effective tax rate could be 30% plus or minus two percentage points. The quarterly rate will vary each quarter in 2014. Equity and net income of associated companies increased in the quarterly comparison between 2012 and 2013, primarily due to improved performance from our equity interest in Primex. Please note, prior recognizing Primex as an equity investment in 2012, the historical performance of the equity investments related to our core business was relatively consistent and generally remains the same to-date. Changes in foreign exchange rates negatively impacted the 2013 net income by approximately $0.7 million or $0.05 per diluted share. Turning to Chart 8 and 9, the Company’s net operating cash flow for the fourth quarter of 2013 was $21.8 million which drove record full-year 2013 net operating cash flow of $73.8 million to be up $10.9 million or 17% from $62.9 million in 2012. The improvement in the Company’s net operating cash flow during 2013 was primarily driven by increased net income and improved working capital. The Company's balance sheet remains very strong with no borrowings under its credit facility. In addition, our $68.4 million cash position exceeded total debt by $18.7 million at December 31, 2013 resulting in a positive $49.8 million net cash debt position as shown in Chart 8. Combined with our recently upsized five-year $300 million credit facilities, the Company has successfully increased its financial flexibility to fund strategic initiatives in acquisition. We continue to evaluate acquisitions as we believe acquisitions are on the most appropriate avenue for Quaker to build shareholder value. We have no specific deals and related impacts to disclose at this time. However, to the extent Quaker does not acquire companies in a reasonable timeframe, we will re-evaluate Quaker’s alternative uses of capital. In conclusion, we had a very strong 2013 with record revenue, earnings, adjusted EBITDA and operating cash flow. While we believe 2014 will be another good year for Quaker. As a reminder, the first quarter tends to be weaker than other quarters due to holidays in Asia and Brazil. And the quarter includes the short month of February of course in all regions. For your reference based on what we know, we do not expect the weather over the last several weeks in North America to negatively impact our North American business in the first quarter of 2014. I would like to personally thank all the Quaker associates around the world for their commitment to our customers and contributions to the success of Quaker . This concludes my prepared remarks for the day. I'll now turn the call back over to Mike.
Michael F. Barry: Thank you, Margo. At this stage, we’d like to address any questions from any participants on this conference call.
George D'angelo - Jefferies & Company: Hi, good morning. This is George D'angelo sitting in for Laurence today.
Michael F. Barry: Hi, George.
George D'angelo - Jefferies & Company: Good morning. How sustainable are gross margins at these levels. I know you spoke a bit about it, but if you could give more color that will be great.
Michael F. Barry: Sure. We would expect that over the long-term our gross margins will be at that 35% mark, that’s our best guess. As you know they kind of go plus or minus around that range and it has a lot of things to do around our contracts and timing and adjustments for raw materials around that. So, long-term we give that guidance. We don’t really give too much guidance on the short-term around gross margin percentages.
George D'angelo - Jefferies & Company: Okay, thanks. So, our market share gains a function of new services and processes with existing customers or would you say they’re more about winning new customers?
Michael F. Barry: It is a combination of both, as we tend to -- over time one of our strategies is to take more share from our existing customers where we may go in and sell them one product or a few products, and that over time increase the basket of products that we sell them, so that’s one aspect or maybe they, we sell them or at one steel mill or and we pick up another steel mill from them. Another way we’re growing and increasing our share in this space is well as we made a series of acquisitions, smaller ones kind of over the past three and half years or so and we picked up five new technologies. And generally picked up those technologies in one region of the world, and we’re still in the midst or early stages of taking that new technology and then selling it to our existing customer base, so that’s another way we’re taking market share.
George D'angelo - Jefferies & Company: Okay, great. Thank you.
Michael F. Barry: Thanks, George.
Operator: Thank you. Our next question comes from the line of Mike Harrison with First Analysis Corporation. Please proceed with your question.
Michael Harrison - First Analysis Securities Corporation: Hi, good morning.
Michael F. Barry: Good morning, Mike.
Margaret M. Loebl: Good morning.
Michael Harrison - First Analysis Securities Corporation: SG&A costs if I exclude the special items that you called out still looked relatively high as a percent of sales. If I look back over the last three to four year’s, were there some unusual kind of catch-ups or accruals related to bonus or the merit pay that you called out in the quarter.
Margaret M. Loebl: I think we mentioned -- I mentioned in my script that we do have incentive comp in the fourth quarter and that was noteworthy in the SG&A. And an increase related to higher bonus levels year-over-year due to higher net results.
Michael Harrison - First Analysis Securities Corporation: I guess my question is that, isn’t that something that you typically would accrue for across the four quarters of the year or was there kind of an unusual catch-up during the fourth quarter that made, that accounts for that bump up in SG&A as a percent of sales?
Margaret M. Loebl: I carefully managed, we always carefully accrued according to the requirement we have under the accounting standards every quarter. It's carefully done, and yes there is a noteworthy change in the last quarter as it becomes clear where we are going to end up.
Michael Harrison - First Analysis Securities Corporation: Okay, got it.
Margaret M. Loebl: That’s when the information becomes available to us, and that’s accrued in a course of GAAP.
Michael Harrison - First Analysis Securities Corporation: Right, okay. And then, reading the papers we have seen more automakers talk about shifting to aluminum body panels to save on weight and we have even heard some anecdotes that rolled aluminum is starting to be short supply. Can you talk a little bit about the positives and negative of that trend as it relates to your business and you obviously have some exposure in aluminum rolling oils, but I am wondering if that’s really in that neutral if it displaces some of the rolled steel for automotive applications.
Michael F. Barry: Sure. Yes, I mean there is pluses and minuses certainly on the steel side that would be a negative impact, but everything we see in our business and it doesn’t change our comments about the kind of growth we see going forward here not only this year but in the longer term. But we still think steel is a good business and we’ll continue to grow. But we also have from a positive side we also have positive exposure from aluminum as well. But as you mentioned we are especially in a nice space, we have a very good share on the aluminum industry. So, we pick up anything we do there, we may pick up some part of that plus if aluminum picks up we have some other products that we besides rolling oils or for example that we would sell into the aluminum industry as well. So, it’s not like a total negative to us and we haven't really done, I don’t have the analysis in front of me if it's a true positive, but we don’t think it's a major event for us.
Michael Harrison - First Analysis Securities Corporation: All right, and then last one I have is on South America side, do the math on what the quarter looked like. It looks like you had good margin improvements for the full-year, but specifically in the fourth quarter it looks like operating margin declined and I guess I was a little bit surprised to see that given your commentary that the restructuring actions are starting to take affect now. So, can you give us any color on what was going on with Q4 margins in South America, and what our expectations should look like for margin there going forward?
Michael F. Barry: Yes, I mean it should -- that would -- I think one of the big drivers in the fourth quarter with South America is just the seasonality impact. The lower volumes that we have down there and the impact that has on our -- again going forward as I mentioned I think all regions of the world I think will have at least some modest impact. So, I would think the margins should be improved in 2014.
Michael Harrison - First Analysis Securities Corporation: All right. Thanks very much.
Michael F. Barry: Thank you, Mike.
Margaret M. Loebl: Thank you.
Operator: Thank you. Our next question comes from the line of Liam Burke with Janney Capital Markets. Please proceed with your question.
Liam D. Burke - Janney Capital Markets: Thank you. Good morning, Mike. Good morning, Margaret.
Michael F. Barry: Hi, Liam.
Margaret M. Loebl: Good morning.
Liam D. Burke - Janney Capital Markets: Mike, can you give us a little more detail on the breakdown on the revenue growth between the I’ll call it old traditional Quaker products and the new products that you acquired over the last several years in the five acquisitions you talked about?
Michael F. Barry: I don’t know. I think first of all, a lot of times it becomes some intermixed at times and it's -- for our acquisitions we have our acquisitions of sales that are growing and then we have our new products from the acquisitions that are really kind of intermixed in our existing business. So, we tend not to look at that as maybe as just as you split it out. But I would say, the overall growth is a kind of a mixture of us between the markets picking up all over the world as well just taking share out of the market place either through new acquisitions or through market share gains.
Liam D. Burke - Janney Capital Markets: Okay. And you had some plant expansion in China, you’ve done some rearranging in plants in the U.S. Do you have any capital projects scheduled or are we looking at sort of back to a normal CapEx schedule here?
Michael F. Barry: I think a relatively normal kind of schedule where we do have a plant in India that we’re looking at leasing and probably I mentioned that in the past. But when you do things in India it seems to take a longer period of time, so and even there when you’re building one it's not that dramatic of a cost. So, that’s the only thing that’s kind of one of the more significant project for us. So, I think it's more of a typical level of CapEx.
Margaret M. Loebl: And any elevation that you see, just isn't going to move those needle if it’s a few million dollars. So we’re on track for our pre-normalized levels.
Liam D. Burke - Janney Capital Markets: Okay, great. And then Margaret you talked about some puts and takes in the effective tax rate, what would be a net guess on 2014?
Margaret M. Loebl: I mentioned that we are looking at 30% for 2014, and it's early in the year and so we’re saying that plus or minus two percentage points.
Liam D. Burke - Janney Capital Markets: Great. Thank you, Mike. Thank you, Margaret.
Michael F. Barry: Thanks, Liam.
Margaret M. Loebl: Thank you.
Operator: Thank you. (Operator Instructions) Our next question comes from the line of Summit Roshan with KeyBanc Capital Markets. Please proceed with your question.
Summit Roshan - KeyBanc Capital Markets: Good morning guys and congrats on good closeout for ’13.
Michael F. Barry: Thank you.
Margaret M. Loebl: Thank you.
Summit Roshan - KeyBanc Capital Markets: Looking at the billion dollar target for 2015, it looks like you’re still targeting that level, can you give us a feel for what you’re looking for or you would near organically to get there, obviously that’s going to take in some acquisitions that’s pretty sizable. So, if you can give us a little bit more color on, if you think that’s still achievable, what type of organic growth you need to get there and any acquisitions that you might have in the pipeline to help you get there?
Michael F. Barry: Sure. As you mentioned I mean it's really, we can’t just do it with organic growth. That would be unrealistic at this stage. So while we expect to have good organic growth in our business. We do would need a significant acquisition to make something like that happen and or a series of acquisitions. And as we both said in our comment’s that’s something we’re actively working on. It's hard to really predict the timing of acquisitions and when they may occur. There’s certainly a number of companies out there in our space that we’re very interested in that can be sizable or meaningful that are small companies, both medium companies, large companies a lot of more are family run, some are owned by private equity. And it really doesn’t matter it's kind of we put a lot of effort and time and keeping close with companies and have conversations around it, but it's really, it's tough to predict when kind of they resell and we agree on the price to buy, so it's -- but that you’re right I mean, we definitely need a pre-sizable acquisition to hit that target in 2015.
Summit Roshan - KeyBanc Capital Markets: Okay. And maybe just to look at that a little bit more, any reason we wouldn’t see an acquisition I know Margo had mentioned that if nothing were to come to fruition you might look at -- take a look at the capital structure and use of cash again. Is there anything particular that you’re seeing in the market, whether it's valuation GAAP or maybe you’re not seeing the right technologies that you’re interested in as to why we haven’t seen an acquisition. I know its been a little bit since you’ve seen one.
Michael F. Barry: It's really availability of companies. Again we’re looking in all different parts of the world like, I can honestly say we’re looking at opportunities in different parts of world right now and at different sizes. And it's just a matter of when something comes available. So, it's not too much lets say disagreement of valuation or things like that it's much as it is, the companies that we’re interested in that are willing to sell at this point in time, that’s kind of the issue. And so we continue to work at that.
Summit Roshan - KeyBanc Capital Markets: Okay, that’s helpful. And just looking at the fourth quarter, a question around the leverage there, it sound little like the raw material environment was benign. Your volumes are up sequentially, but gross margins ticked down a few basis points. Could you just give a little bit of color there?
Michael F. Barry: Sure. We have -- as raw materials change in the market place we have, it can also impact up or down and it’ll also impact out adjustments and our pricing to customers. Some customers have contracts that are indexed and go up and down with our raw material pricing and there’s lag effects in some of these, so if this works both ways up or down and if raw materials go up or down and then we have a price adjustment based on an index and but not -- so you can have definitely fluctuation in our gross margin over time and that’s why we say long-term we feel we’re going to be in that 35% range.
Summit Roshan - KeyBanc Capital Markets: Okay. And then maybe taking that point a little bit further, if we look over the long-term helping to get a better feel for the leverage that’s built into the model, I know over the past couple of years SG&A costs have gravitated up a little bit and I know you’ve targeted 35% gross margins, half margins I know it's been targeted around the 10% level. And as I think about, if you were to achieve that billion dollars in sales, whether it was through organic growth over time or through an acquisition, would it be achievable that you get that margin to gravitate a little bit higher maybe potentially into the low teens on an operating basis.
Michael F. Barry: I agree with your principle and I agree with anything you’re saying as far as, as we get bigger and put on more revenue and we grow whether it's organically or through acquisitions. I do believe there should be some improvement in our operating margins over time, like again we won't -- we tend not to give out predictions, forecast with that kind of stuff, but we do -- I do agree with everything you kind of said there.
Summit Roshan - KeyBanc Capital Markets: Great. Thanks.
Michael F. Barry: Thank you.
Operator: Thank you. Mr. Barry, there are no further questions at this time. I would like to turn the floor back over to you for closing comments.
Michael F. Barry: Okay. Since we have not further questions, we will end our conference call now and I want to thank all of you for your interest today. We are pleased with our results in the fourth quarter and for the full-year, and we continue to be confident in the future of Quaker Chemical. Our next conference call for the first quarter results will be in late April or early May, and if you have any questions in the meantime, please feel free to contact Margaret Loebl or myself. Thank you again for your interest in Quaker Chemical.
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.